Operator: Welcome, everyone, to the AppLovin Earning Call for the Fourth Quarter and Year Ended December 31, 2023. I'm David Hsiao, Head of Investor Relations. Joining me today to discuss our results are Adam Foroughi, our Co-Founder, CEO and Chairperson; and Matt Stumpf, our CFO. Please note, our SEC filings to date, as well as our shareholder letter and press release discussing our fourth quarter and annual performance are available at investors.applovin.com. During today's call, we will be making forward-looking statements regarding our products and services, market expectations, the future financial performance of the company, and other future events. These statements are based on our current assumptions and beliefs, and we assume no obligation to update them except as required by law. Our actual results may differ materially from the results predicted. We encourage you to review the risk factors in our most recently filed Form 10-Q for the fiscal quarter ended September 30, 2023. We will also be discussing non-GAAP financial measures. These non-GAAP measures are not intended to be a substitute for or superior to our GAAP results. Please be sure to review the reconciliations of our GAAP and non-GAAP financial measures in our earnings release and shareholder letter available on our Investor Relations site. This conference call is being recorded, and a replay will be available on our IR website. Now I'll turn it over to Adam and Matt for some opening remarks, then we'll have the moderator take us through Q&A.
Adam Foroughi: Welcome everyone, and thank you for joining. We're thrilled to report another outstanding quarter in Q4. We surpassed the high-end of our guidance and established a consistent pattern of exceptional performance throughout 2023. Reflecting on the last year, it's remarkable to consider how much we have grown and evolved in just one year. After a challenging 2022 characterized by stagnant growth, we refocused on growing our existing business and investing in new initiatives. I am immensely proud of our team's dedication and hard work, which has resulted in our software platform revenue growing by 76% in 2023. Despite a challenged economic landscape and mobile gaming sector, we have continued to grow. This is a clear testament to the strength and potential of the updates we have made to our AI advertising engine, AXON. When we embarked on our public journey in 2021, Software Platform revenue was nearly $700 million. And now, only two years later, we have reached close to $2 billion. We also forecast that we would have significant margins on incremental revenue for our software business. I'm proud to state that in Q4 2023, our incremental revenue had an approximate 80% flow through to adjusted EBITDA, culminating in record cash flows. This growth trajectory underscores a robust financial health and positions us favorably for diverse opportunities to enhance shareholder value, like ongoing share repurchases. Now, looking ahead to 2024 and beyond, we continue to remain bullish about the potential of our core AI technologies, which stand amongst the most advanced across all markets. Our focus on leveraging these technologies for World in the CTV space and Array in the Carrier & OEM market is just the beginning. We are poised to explore and expand into new applications of our AI technologies in the coming quarters and years, which has the potential to significantly broaden our TAM and opportunities. Now, I'll turn it over to Matt, who will deliver his first financial summary as our CFO. We are incredibly fortunate to have him in this role. Thank you once again for your unwavering support on this journey.
Matt Stumpf: Thanks, Adam, and good afternoon. I'm pleased to step into my first earnings release as CFO with such amazing financial results. So first, I'd like to thank the team for having executed so well this quarter and making my job easy. In the fourth quarter, we exceeded the high end of our guidance for both revenue and adjusted EBITDA, achieving $953 million in total revenue and $476 million in adjusted EBITDA. That's an impressive 50% adjusted EBITDA margin. We also exceeded our analyst expectations this quarter by beating the consensus averages for both revenue and adjusted EBITDA. Adjusted EBITDA was nearly 10% higher than expectations. Our revenue grew by 36% from the same period last year and 10% from last quarter. Optimization efforts within our Apps business in the first-half of the year resulted in a slight decline in revenue, but it led to improved EBITDA margin. We still grew revenue every quarter this year due to the tremendous performance of our software platform and continued strength and growth in the advertising market. Our Apps portfolio continues to perform well with 5% growth from last quarter, while maintaining a consistent 15% adjusted EBITDA margin. Our Software Platform had another excellent quarter. We achieved a revenue of $576 million and adjusted EBITDA of $420 million, that's a 73% margin. This represents nearly an 80% flow through from revenue, given our relatively fixed cost base and continued cost discipline. All of our businesses were able to grow their revenue this quarter, with AppDiscovery, the primary driver of our success. Our growth stemmed from a combination of market factors and our execution, including a strong holiday season, growth in the mobile advertising market, a market shift to real-time bidding, early contributions from our Array business, enhancement of our technologies like AXON, expansion of our advertiser base, and growth in advertiser budgets. The combination of these factors are contributing to improved efficiency, leading to compounding growth for our company and our partners in the industry. Turning briefly to our annual results. Revenue for the year was $3.3 billion, that's an increase of 17% from last year. Adjusted EBITDA was $1.5 billion, that's an incredible 41% increase from last year at an adjusted EBITDA margin of 46%. Over the last five years, we've been able to achieve remarkable growth in our Software Platform business. We grew from $136 million in adjusted EBITDA in 2019 to nearly $1.3 billion this year. During that time, we had roughly 60% to 70% adjusted EBITDA margin. Free cash flow for the year was $1 billion, representing an impressive 69% flow through from adjusted EBITDA of $1.5 billion. Going forward, we hope to retain roughly 70% flow through on an annual basis, with quarterly fluctuations due to working capital and tax payments. During the year, we extended the maturity of our term loan to 2030. At the same time, reducing our interest rate to continue to manage our ongoing costs. In addition to our debt management activities this year, we also repurchased and withheld a combined 54.3 million shares in 2023. After considering share compensation, this represents a nearly 10% reduction in our total shares outstanding. Through the combination of free cash flow generation and share management, we hope to continue to generate significant long-term value for our existing and our new shareholders. Our Board has also approved an increase in our share repurchase authorization by $1.25 billion. We plan to use this to continue to manage our outstanding shares. Turning to our first quarter 2024 guidance, we hope to deliver between $955 million and $975 million in revenue in the first quarter. Adjusted EBITDA is expected to be within the range of $475 million and $495 million. That represents an adjusted EBITDA margin of between 50% and 51%. We believe these results are achievable, given the various growth factors I highlighted earlier. While taking into account, the first quarter is a seasonally low period for the industry. In conclusion, we're very happy with our financial performance this quarter and for all of 2023, as a result of a strengthening market combined with our team's execution. We look forward to continued growth over the coming year as we continue to expand our business into new verticals and industries such as non-gaming and CTV. Now with that, I'll hand it over to our moderator to take us through the Q&A.
Operator: Thank you so much, Matt. And now we will take your questions. When I call your name, please turn on your video and unmute. And we will get through as many questions as possible in the time allotted. And our first question is going to come from Omar Dessouky with BofA. Omar, go ahead and come off video, please. Great. Thank you.
Omar Dessouky: Thank you. Thank you for taking my question. So, let's see, on the one hand, you're not giving calendar year '24 guidance, but on the other hand, you did talk about in your letter that you're working towards expanding your software platform reach in 2024. So I was wondering if you could unpack those two things for us, especially the software platform reach part. Thank you.
Adam Foroughi: Thanks, Omar. I'll start with the business side, and then Matt will jump into the financials. But ultimately, we launched AXON 2, the upgrade of our AI platform in Q2 last year. From that point to Q4, the business -- the software business grew almost 50%. And obviously, you know, the impact on margins. We've talked about a huge flow through in dollars. The incremental dollars of growth there coming in at 80% roughly in the quarter. This is an early-stage technology. It's only been live for a little over half a year. It's growing exceptionally quickly, very high margin. We think the applications of this core technology are much broader than what we do today. And the team is continuously improving the technology, too. So we're very excited about where it could go. Ultimately, when you've got a business that's growing that quickly on a technology that's that new at the margins we operate at, it's very hard to understand going forward exactly where we're going to land, but we've never been more excited about the growth prospects we've got in front of us.
Matt Stumpf: Yes. Just to echo what Adam said, Omar, given the difficulty in kind of forecasting and understanding the impact of launching a new technology like we did with AXON 2.0, it's very difficult for us to forecast what the impact, what the financial impact of that is. So for that reason, we don't provide longer-term guidance.
Omar Dessouky: And then just a quick follow-up, if I could. So Facebook called out Chinese advertisers, both e-commerce and video game publishers is one of the reasons their advertising outperformed in Q4. I didn't see it in your shareholder letter, and I was wondering if that's something you guys had seen at all or perhaps expecting in the first quarter.
Adam Foroughi: No, we don't have any specific concentration or change of mix, and we index lower in terms of Chinese partners to rest the world than I think they do. But this is something we'd called out during COVID. China lockdown was a huge area of inefficiency in the market. So we've seen the market really hit a trough last year, or two years ago, and then start recovering late last year. A lot of that was because Chinese developers were back in office for a year, coming back online, getting efficient again. And we'd signaled that we thought eventually that's going to help bring efficiency back to the market, because while we don't index heavily on the revenue side, there is a lot of content that's created out of China that comes out West and does benefit advertising-related businesses. And so that was a good trend that we've seen continue to expand.
Omar Dessouky: Thank you very much. Appreciate it.
Adam Foroughi: Thanks, Omar.
Operator: And our next question will come from Tim Nolan with Macquarie.
Tim Nolan: Hi, guys. Can you hear me okay?
Adam Foroughi: Yes, we got you, Tim.
Tim Nolan: Okay, great. Thanks. I had some trouble with the sound on the first part of the presentation. I'm glad you can hear me now. I wanted to ask about some of these big changes coming in the mobile ad landscape this year, namely the DMA, which comes into effect, I guess, in a couple of weeks’ time, three weeks’ time, and also the deprecation of the Google Android ID and then also the iOS 17.4, kind of, a lot of things in there to wonder about how it might impact the mobile ad markets here. I wonder if you could comment on those, please.
Adam Foroughi: Yes. Look, I think we've said this before, when it comes to privacy, Tim, is you don't know dates on a lot of these releases. So when you're talking about Google, like, who knows when the actual rollout will be. Cookies were a lot later than expected and still in a very small percentage rollout. So we don't know when these changes will come. We don't know the exact impact of the changes. What we do know is that, one, the way we've operated traditionally, we're very entrepreneurial, we're very nimble, and we've been able to adapt very well whenever there have been these changes. And number two, we run a much more of a contextual behavioral model than a lot of properties on the OpenWeb. And so, because we don't interface as much when it comes to really sensitive user data with the consumer, we're in a much better starting point than a lot of other businesses, too. So those two things always give us confidence that no matter what the change is, we're going to be able to navigate it.
Tim Nolan: Okay, could I ask a follow-up on the DMA, which would be, do you think, you know, allowing much lower App Store fees in Europe at least would be a positive for app development, which might then lead to more ad spending going down the road? Or do you have any opinion on the Apple response to be adding this extra $0.50 charge?
Adam Foroughi: Yes, the way Apple responded makes it not really a great business decision to go off store, because one thing people don't talk about is there is organic value to being on store. So if you take the 30% fee and figure 10 points to 15 points of value from organic rank, then you're down to 15 points of cost savings and the expense to the developer that they -- all the different layers of expense amounted to roughly 20 points. So there's no economic reason to go off-store today. We think over time, though, there's enough global pressure and there's going to be enough movement from the courts over time that they're going to continue to scrutinize us in different jurisdictions where eventually we think there could be benefits economically to the content developers. And if that happens, we've always said that's going to greatly benefit the advertising solutions. If you just think about the dollars on our platform, majority are transacted to drive IAP today and the dollar is taxed down to $0.70. If that one day went to [85-15] (ph), you could go take that and say every developer now makes 20% more, and how much of that are they going to be willing to put into marketing? A large part of it, which would be greatly beneficial to a platform like ours.
Tim Nolan: Yes. Great. Thanks, Adam.
Operator: Moving on to Jason Bazinet with Citi.
Jason Bazinet: Thanks. This is maybe a long-winded question, but I can't help but look at your stock and the multiple seems so low to me, given the attractiveness of your business and the growth and the free cash flow conversion. And I saw the $1.2 billion authorization on buybacks. But I don't think you bought back any stock in the quarter, and yet your guidance is good. You knew it was going to be above the street. So my first question is, can you just comment on sort of the tactical pause in the fourth quarter on buybacks? And then my second one, related is, do you think your multiple is low because of the two divergent businesses that you have between the software platform and first-party games? And does that still make sense to hold these two businesses together, given that one is phenomenally attractive and one is just good? Thanks.
Matt Stumpf: Yes, I'll take the buyback piece first.
Adam Foroughi: Yes.
Matt Stumpf: So, Jason, just from a strategic view, our approach to doing buybacks is to do directed large repurchases rather than buyback in the open market. That's how we feel like we can have the most impact. And the opportunity didn't present itself in Q4 to do a large buyback from an existing shareholder. So to the extent that, that does present itself in the future, that's the approach that we're going to take.
Adam Foroughi: Yes. And we just did authorize the big buyback. We're going to be committed to it going forward. We do think as a company like ours, where we're generating this much cash flow, we should be able to continue to facilitate buybacks and return value to shareholders in that manner. When it comes to the question of where we trade, why we trade at the certain multiple we trade at, but we can't answer that. We're not traders, and it's very hard to unpack. Does mobile gaming discount the overall company valuation? We don't, frankly believe so, because the core software business is growing so quickly and we break out financials. So it's pretty easy to just say, let's just look at the software segment. There is -- we think the harder part when it comes to our business is that we were in a no-growth period in '22. We've had to come off of that and really focus on execution, which is what we asked of our teams. And now we put together four subsequent quarters of stellar performance. And as you look at that software segment, there's not a lot of software businesses with 70% plus EBITDA margin growing at the rate that is, I mean, rule of 140, 150 or whatever. And so, it's just an astounding number. And then we convert a very high percentage of that EBITDA to cash flow as well. So we think because the technologies are new, it'll take a while for investors to understand what we already see, which is not only is this very powerful technology in our core market, we've been able to grow much greater than the market is growing because this technology is efficient. And in conjunction with that, our partners are growing much faster, too. And you see some of these games that are in the market today at the top of the top grossing, they depend on our marketing channel, and they're growing because our solutions become more efficient. That's in our core market. And now we see applications of that technology in multiple adjacent markets, and we think we're going to be able to go apply it, not only to what we've talked about some other applications too, that we'll talk about in the upcoming quarters. And that's what gets us really excited. So we're for sure committed to buybacks because we see value and we're able to unpack the value much more easily today than investors are. And we hope to be able to articulate that narrative in the coming quarters to investors.
Jason Bazinet: Thank you.
Operator: Then we will now hear from Ralph Schackart, I apologize, with William Blair.
Ralph Schackart: Hey, good afternoon, Adam and Matt. Thanks for taking the question. First one, I know you've talked historically about AXON 2 extending beyond just sort of the gaming vertical. But maybe just sort of give us an update on the progress. Are you starting to get contributions outside of the gaming vertical? And then I have a follow-up.
Adam Foroughi: Yes. Thanks, Ralph. Non-gaming is growing faster. Gaming, it's smaller, so obviously there's more room to grow. It's going to be a commitment of ours to broaden out the platform. We've talked about broadening out to non-gaming, that's a component. We've talked about Connected TV. That was an application that's in progress right now, expanding our reach to the television device. We've talked about delivering marketing solutions to carriers and OEMs powered by AXON 2, that's in progress as well. We're starting to see, as Matt touched on in his script, some benefit from both those initiatives. And we think there are not only those applications, but more beyond that, that we'll talk about in the coming quarters as well. And so, we're very excited about not only what our solution can do within our core category, but the expansion opportunities it presents us.
Ralph Schackart: Great. Maybe you could sort of provide some context of what's really outperforming versus expectations. I'm sure there's an element of conservatism on wanting to guide. But just sort of frame for investors, why is AXON 2 doing better perhaps than you expected?
Adam Foroughi: Look, I mean, what people don't understand about our platform, and I guess we don't tend to articulate to is the MAX business sits on top of over 1 billion daily active users, 1 billion users playing games. So if you think about in the U.S., roughly 170 million daily active users. So you're talking about the majority of American adults are playing games daily in mobile apps, and we're able to service them. Historically, in this channel, the modernization has been very low per 1,000 impressions, compared to what the social networks and the search engines and the video apps have gotten to. And those companies had very sophisticated technology and a lot of data. We've been able to get to a point now where our technology has become much more efficient. So we're just monetizing this audience more effectively. What gets us really excited is we're a couple of quarters in. We're really starting from a low monetization point. The whole market is monetizing these users playing games at a low point. When you have that much reach, 170 million daily actives in the states, these aren't people that are just playing mobile games. There's just no way. It's a very, very widespread audience, predominantly adult that are doing other things. And as these technologies get to a point of predicting more broader application of advertising to this audience, not only will it get more efficient, it will expand out the reach for a company like ours to other verticals, and it will create more efficiency for the publisher, we should grow everything. And so that's what gets us really excited is it all comes down to efficiently monetizing a huge audience that we have access to.
Ralph Schackart: Great. Maybe if I could just sneak one more in. We get the question all the time in simple terms, if you could explain what's the main difference from AXON 2 versus AXON 1. Maybe just for simplicity sake, for investors sort of frame what's the biggest change or observation you see on your end? Thanks, Adam.
Adam Foroughi: Yes, it's just better. I mean just the technology is built to scale better, it's more efficient, more effective. These are predictive technologies at the end of the day. And I'm drawing the analogy to Chat GPT. And the only reason I do that is because we can all type in a box and get a result. And we all know that Chat GPT 3 to 3.5 to 4, 4 was better than 3.5, it was better than 3, right? But we could have seen that. Well, what we can't see in a black box algorithm is a type in and a result. But what we can see is that what we're trying to predict is show an advertisement to a consumer for some advertiser and drive value to the advertiser. And there's a whole bunch of predictions along the way, and AXON 2 makes them better than the prior version. And that creates a lot of efficiency gain, both for our business and that of our partners.
Ralph Schackart: Okay. Thanks. Adam.
Adam Foroughi: Yes.
Operator: Cannonball's Vasily Karasyov has the next question.
Vasily Karasyov: Thank you. I have two. First one, can you talk in a little more detail about different trends for domestic and international markets that you see and revenue or maybe metrics. Is there any difference? Do you see different penetration and customer response? And then the second one is, given what you said about extending software platform, how sustainable or the EBITDA margins in this segment that we saw in Q4? Thank you.
Adam Foroughi: So on the first, we don't see a whole lot of difference domestic to international. There's consumption that drives our value and there's efficiency of the algorithms and partners that are advertising on us that drive the value. And so other than like one-off holidays in international locations that would alter the revenue percentages. If you assume the period of engagement is consistent, then the revenue mix would also be consistent. And the other core thing to always remember about our business is, all of our advertising is 100% performance-based. So an advertiser that wants a specific performance of yield and the U.S. is willing to get the same yield in Turkey or in the U.K. or in Germany or in Japan. And so when they advertise with us, they are predominantly global advertisers. So we don't tend to see much variance there.
Matt Stumpf: And on your second question, Vasily, in terms of just margin. We haven't seen any significant difference. I mean, as Adam mentioned previously, it's relatively small at this point, the non-gaming component of the business. But as we push into these other new verticals and industries, we don't see any material difference between the margin profiles of the existing mobile gaming business or non-gaming.
Adam Foroughi: Yes. We've let you all know that when you see roughly 80% flow-through, we don't really expect that to be different as that software business continues to grow. The flow-through should be a really high conversion to EBITDA.
Vasily Karasyov: So Q4 is indicative of what we should expect next year? Every quarter?
Adam Foroughi: No. On the incremental revenue growth, yes.
Matt Stumpf: Yes. I mean if you look at just our guidance, Vasily, we're guiding to a similar position, right, in the 50% to 51% overall EBITDA margin.
Vasily Karasyov: Thank you so much. Congratulations.
Matt Stumpf: You're welcome. Thank you.
Operator: And Matt Cost with Morgan Stanley. Please go ahead with your question.
Matt Cost: Hi, everybody. Thanks for taking the questions. Two, if I could. So from a real-time bidding perspective, it looks like I might have frozen. Can you still hear me?
Adam Foroughi: Yes.
Matt Stumpf: Yes.
Matt Cost: Okay. Good. Well, then we'll keep going. From a real-time bidding perspective, how much of the market has shifted towards real-time bidding at this point? And then can you talk about the financial impact that, that will have when that process is complete and how investors should think that through? And then I have a second.
Adam Foroughi: Yes. So the first one, the Google announcements on their move to go predominantly real-time bidding in mobile mediated auctions came out, I think it was some point in October. And they had a commitment to do by January. But throughout Q4, the vast majority of the market was traded in a programmatic real-time manner. And the impact of that is twofold for a business like ours. One is we've operated the MAX platform not charging anything to advertising companies when they're not real-time bidding, but charging a take rate of 5% when they are real time bidding. And we've disclosed that number before. That's just a consistent fee that we charge to bid on our platform. Now with the majority of the market moving that way, that's a good economic development for the MAX platform, and that obviously benefits our software segment. On the second point of the impact, what real-time bidding does is clear an auction faster. There's less consumption. So there's just less infrastructural load in order to process a real-time auction versus a waterfall auction, and there's a quicker ad delivery. And by delivering an advertisement more quickly, the publisher benefits because they can show more advertisements to their consumer whenever they want to, instead of waiting for an advertisement to actually clear, it clears faster and more show. By doing that, it creates a world where the publisher starts yielding more in an efficient manner which can then drive up their ad revenue per user. And then the whole formula that we operate on is the publisher makes more, they reinvest more in the user acquisition, their business grows, and we enable that growth, and our business grows with it. So we're only seeing positive from this transition.
Matt Cost: And then the second question was just on the competitive environment. Obviously, one of different competitors is going through a major restructuring. I guess, are you seeing any shift positive or negative in the competitive landscape year-to-date?
Adam Foroughi: Look, since we went public, we've been a very strong independent leader in the sector. I don't think anything has changed there. We've been focused on executing ourselves. And as our technology has gotten more efficient. Obviously, we're driving more value to advertisers. But we've said this for, I think, multiple quarters now, none of us operate in a zero-sum game. So when we're able to drive more value to these advertisers who are buying on a performance basis, they don't go, we have a fixed budget and we're going to pull from here. They go, okay, we have a budget over here. We have budget over here. But AppLovin is now 5 times better than they were. So let's expand the budget with them, too. And they're able to reinvest more dollars into the user acquisition, which helps their businesses grow. And that's what makes the space quite appealing is that none of it is zero sum, whether on the publisher or the advertiser side. And so we've been able to focus heads down on our own execution. Our team has built really cutting-edge technology that works better than any other -- I think any of the advertisers or our peers have seen in the sector, but that benefits everyone in the sector. And so we're excited that, that is just a reality of the industry we're in.
Matt Cost: Great, thank you.
Operator: David Karnovsky with JPMorgan has the next question.
David Karnovsky: Hi, thanks for taking the question. Adam, maybe relative to your prior shareholder letters, you seem to be describing a mobile market, which is broadly inflecting for the better. So I wanted to see if you could walk through some of the drivers of that, what you're seeing. And then for Matt, wanted to confirm, you said 70% free cash flow conversion expected from here. I think the prior range was 50% to 60%. So maybe what's driving the better flow-through? And then just housekeeping on the Q1 guide, any color in terms of expected apps growth there even on a directional basis? Should you gain sequentially? Or would we see sort of a seasonal decrease? Thanks.
Adam Foroughi: I'll have Matt cover two and three. On the first one, on the mobile market, we put out a blog. I think it was around Thanksgiving. So it was a good one, highlighting just CPM growth in the industry, comparing '23 to '22 holiday period. And what we saw in Q4 was that just coming off of weak comps in '22 when every part of the economy was fearful and this sector was particularly fearful we saw brands and performance advertisers more willing to invest in marketing dollars. Now what we don't know about that is are the AI-driven advancements in the marketing technologies that you've seen implied by our numbers and our performance and technology and what Facebook has done and what Google have done over the last year driven that acceleration? Or is it just the economy recovering? And we think it's a function of both. And we actually think because we're not brand advertising at all. Ours is entirely due to the technology efficiency, you're seeing this market start recovering. It's coming off from weak comps. So getting back to growth is easier than it was in the past. But the marketing technology is evolving from here and continuing to improve is going to be a really good catalyst for a return to growth for this mobile market.
Matt Stumpf: In terms of free cash flow, David, so we didn't guide to 70% going forward on a long-term basis. On a quarterly basis, we will have fluctuations depending upon just working capital and then also the timing of tax payments. But we are seeing better free cash flow conversion from EBITDA than we were expecting, which is a positive impact that we're seeing from all the technology improvements that we've done. And then in terms of the Q1 guide, your last question, Obviously, we don't provide segment guidance, so I won't comment on apps versus software, but we are happy to be able to guide into Q1 with slight growth considering the fact that it is a seasonally low period for the advertising market.
Operator: Anything else, David? All right. Well, Adam and Matt, we will take our last question from Chris Kuntarich with UBS.
Chris Kuntarich: Great, thanks for taking the question. I think we're a bit further on into the CTV testing at this point. Can you just give us some feedback from advertisers on how that adoption is going?
Adam Foroughi: Look, the CTV testing and the rollout is early stage. And we've got a really large software platform business now with net revenue near $2 billion. So for it to become very substantial for these advertisers as the ways out, they're all intrigued by it because traditionally, and I don't know if you do channel checks, you won't find another place where these advertisers can buy on a performance basis, the way we can enable it on Connected TV today. So I'd say it's first inning, everyone is excited by prospect of being able to go recruit a consumer on a new device that they just had never had the access to before in the way that we can enable it but it's early and in our business as big as we are and as fast growing as that business is for any new initiative to make a material impact, we're talking multiple years.
Chris Kuntarich: Understood. And maybe just going back to the non-gaming business, I think it's been positioned in the past, there was a bit of a lag between the adoption of AXON 2 from gaming and non-gaming and just the scaling of budgets here within the non-gaming business once those advertisers adopt AXON 2. Can you just talk about, kind of, if that slowness to scale budgets within that non-gaming business if you guys are starting to see that normalize and start to kind of revert to what you're seeing in your gaming business? Thanks.
Adam Foroughi: Yes, it's a good question. Non-gaming we'll probably never get to as quick as mobile gaming. The mobile gaming marketer sees an opportunity and jumps on it. It's just that it tends to be a more commoditized space, and it's a tougher space for content providers to plan, whereas non-gaming enterprises tend to have a brand and they have fixed budgets and they normally plan their budgets in every quarters and years out. And so because of that, it won't ever be a quick to move market, that said, we talked about it growing faster than the gaming segment. We do know the technology application works across any category that we've seen so far. So as we get a fintech advertiser live, or a rentals company or an e-commerce company, we're seeing success across the board. So it's an area we're investing in. We're increasing our head count there. Now we always operate efficiently and lean. So that doesn't mean a lot of cost, but we are investing in bringing in the right people to really expand these non-gaming verticals because we see a ton of opportunity there.
Chris Kuntarich: Okay. And maybe just one housekeeping, if I can squeeze it in. I think you had called out the Software segment outperformance in 4Q, you listed off a handful of factors. I think it started with a strong market and wrapped up with growth in advertiser budgets. Should we be directionally or kind of if we were to stack rank these various impacts? Is that kind of from most impactful to least impactful? Or anything to read into there? Thanks.
Matt Stumpf: No, they're not rank ordered, my list of factors. Yes, it's just a combination.
Adam Foroughi: And I'd say, just given the growth rate we're on, and you've seen for multiple quarters now, the bigger part of our growth is driving more efficient value to advertisers, unlocking more budget and expanding the advertiser total than it is the market. The market isn't growing anywhere near as fast as what we are.
Chris Kuntarich: Understood. Thanks.
Adam Foroughi: Thanks, Chris.
Operator: Well, this does conclude our question-and-answer session for the quarter. We thank you all for joining us today. Have a good afternoon. We'll see you next time.
Matt Stumpf: Thanks, everyone.
Adam Foroughi: Thanks.